Operator: Ladies and gentlemen thank you for standing by and welcome to the Terex Corporation Fourth Quarter 2013 Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I’d now like to turn the call over to Ronald DeFeo, Chairman and CEO. You may begin.
Ronald M. DeFeo: Thank you, Victoria, and good morning ladies and gentlemen. We appreciate your interest in Terex today. And on the call with me is Kevin Bradley, Senior Vice President and CFO; as well as Kevin O'Reilly, Vice President of Operational Finance; Tom Gelston, Vice President of Investor Relations, and available either in the room or on the phone will be members of our leadership team, including the business segment presidents. As usual, a replay of this call will be archived on the Terex website, www.terex.com, under the Audio Archives section of the Investor Relations area. I'll begin with some overall commentary and highlights and Kevin will follow with a more detailed report, and then I'll give some comments on where I think we’re headed and summarize before we open it up to your questions. We will be following a presentation which was included with the earnings release and is available on our website. I would like to request that when it comes to the question time, you ask one question and a follow-up in order to give everyone a chance to participate. Let me direct your attention to Page 2, which is the forward-looking statement and non-GAAP measures explanation. We encourage you to read this, as well as other items in our disclosures, because the information we'll be discussing today does include forward-looking material. So now, let me begin. Turning to Page 3. About 12 months ago, I mentioned that Terex was going to focus on improvement by concentrating on the things we can control, namely Portfolio Management, Simplification, and Financial Efficiency. Now looking back on the year, we feel positive about the improvements we were able to deliver to our shareholders. While the year started slowly, we had seen recent improvements in net sales growth for the second half growing over 6% versus the prior year and the fourth quarter growing about 12%. This led to substantially better earnings in the back half of 2013, up 59% from the first half and 84% from the same period in 2012. We made a number of portfolio decisions during 2013 that will help focus our energy and attention on those markets where we had a substantial presence and a likelihood to succeed. We were able to complete the process of acquiring a 100% of the Terex Material Handling & Port Solutions AG shares, which will have the benefit of eliminating a guarantee dividend payment to those shareholders and we made progress in our debt structure paying back roughly $220 million bank debt. Putting numbers to our quarterly annual performance, we achieved an earnings per share of $0.65 on an adjusted basis in the quarter and compared with a year-ago adjusted $0.17 per share in 2012. For full-year we achieved an earnings per share of $2.25 as adjusted in 2013 versus $1.58 per share in 2012. As a reminder, these results reflect our off-highway truck business as accounted for in discontinued operations due to the impending sale of that business. We believe the consensus numbers had included the truck business both looking backward and looking forward. In 2012 we will continue and accelerate our efforts on internal actions and internal improvements and we fully expect this will be beneficial in the coming years. I will come back in a few minutes to give you some highlights. Kevin will run through the specific numbers. I'll turn it over to Kevin now. Thank you.
Kevin Bradley: Thanks, Ron and good morning, everyone. Turning to Slide 4, I will review our financial results for the quarter. Our net sales for the quarter of $1.8 billion increased $192 million or 11.9% when compared to the prior year quarter. Foreign currency exchange rates contributed approximately 1.6 percentage points to the increase. AWP and MHPS led the segments with growth of 31% and 27% respectively, while the Cranes business decreased approximately 6%. Our Construction and Material Processing businesses remain relatively flat versus the prior year quarter. Gross margin as adjusted was stable at 20.6% as the favorable mix of business and margin expansion in both AWP and MHPS was offset by the decline in gross profit margin in our Crane business, which was negatively impacted by product mix in the quarter. SG&A as adjusted both in dollars and as a percentage of sales decreased compared to the prior year quarter as we continue to focus on expense reductions. Restructuring efforts in construction and MHPS are taking hold and we're leveraging our cost structure as we grow our AWP business. Operating profit as adjusted increased approximately $50 million or close to 70%, as growth in AWP and MHPS and the improved financial performance in construction was partially offset by decline in our Cranes business. Operating margin increased 230 basis points to 6.7% for the quarter and our incremental margin was approximately 26%. Net interest and other expense as adjusted improved roughly $8 million, when compared to the prior year quarter. The improvement is driven by the capital structure actions taken in late 2012 and in 2013, including debt reduction, repricing of the term debt as well as the squeeze out of the remaining outstanding minority shares in Terex Material Handling & Port Solutions AG, which we completed last month. The effective tax rate as adjusted for the quarter was 21.1%. This compares to an as-adjusted tax rate of 45.3% in the prior year quarter. The lower tax rate was mainly driven by a reduced impact of losses not benefited and a reduction in the provision for uncertain tax provisions. For Q4 earnings per share was $0.72 compared to a loss of $0.30 in the prior year quarter. On an as-adjusted basis, fourth quarter EPS was $0.65 compared to $0.17 for 2012. Net working capital as a percentage of annualized sales was 24.8%, an improvement from the 26.9% reported in 2012. Although we had made improvements in the prior year, we missed our target of 22%. Free cash flow for the year of approximately $377 million also felt short of our greater than $400 million target. Finally, return on invested capital increased 8.1% from 6.9% in the prior year driven by an improvement in net operating profit after tax. Now let's turn to Page 5, and I will discuss our adjustments for the quarter. Adjustments in Q4 for restructuring and related items lowered our reported EPS from $0.72 to $0.65. The adjustments relate primarily to previously announced restructuring actions in our Construction, Crane, and MHPS businesses. Cost to execute these programs is now below our original estimates. The impact of these items in the quarter was an increase in income from operations of $10 million and $8 million increase in income from continuing operations and they added $0.07 per share. With that, let me turn it back to Ron.
Ronald M. DeFeo: Well, thank you, Kevin. So let me give some commentary beginning on Page 6, where we provide a bridge on our fourth quarter sales performance when compared to the prior year. As I mentioned, overall revenue was up 12%, but the portfolio of businesses in geographies, each had a slightly different impact on that result. Aerial Work Platforms and Material Handling & Port Solutions showed pretty dramatic improvement in top line performance compared with year-ago. Typically this is a slow fourth quarter for AWP, but our AWP business continued to see strong demand from the North American market and even Europe has begun to rebound. Globally we believe the AWP product category is becoming more broadly accepted in new markets as a good tool on the job site, and we see very, very good growth continuing from non-traditional markets. Q4 revenue growth was 31% which we feel is outstanding. Turning to Material Handling & Port Solutions, we achieved a 27% year-over-year growth in the quarter and we think this was driven by a second-half recovery in the base port business as well as the commencement of shipping a large portion of the automated port projects or beginning that shipment process. As an overall market for Terex North America was the biggest driver, up 32% in the quarter while Europe for overall Terex was a more modest increase at plus 8%. We think that’s a positive sign and we are starting to see some growth in European businesses. We are pleased with the overall 12% revenue growth in the quarter. Turning to Page 7, we’re providing a similar bridge on operating profit, showing an increase for Terex to 17% versus the prior year’s quarter. Following the revenue, AWP had a strong incremental margin of 33% in the period. Construction profitability improved somewhat as the business stabilized. Cranes results were down year-over-year with the Australian and Southeast Asian markets softening somewhat and Material Handling & Port Solutions return to profitability on the back of better revenue performance and lower operating costs from the beginning of the restructuring efforts in the second quarter. Turning to Page 8, we thought it would be important to review some of the significant improvement actions accomplished during the year. We have reduced debt by over $100 million as well as repricing our senior bank debt to achieve a lower interest cost. As previously mentioned, we were able to complete the purchase of shares for the Terex Material Handling & Port Solutions AG at a cost of $228 million in 2013 and roughly $77 million more in the first quarter of 2014. This removes the annual guaranteed dividend of approximately $17 million, which was also an expense that was not tax deductible. We initiated, as you know, and quarterly dividend of $0.05 in December and announced the same at the same time that the Board had authorized a repurchase of shares of approximately $200 million over the next couple of years. At the end of 2013, we had purchased roughly $30 million in stock under this program. We continue to review the portfolio businesses we were in and we came to the decision to exit the road building Off-Highway Truck and Construction Components businesses during the year. This allows us to focus management time and energy on products where we think we can grow. Lastly, Material Handling & Port Solutions went through some significant changes. And the end result will be a leaner more agile organization as is expected to deliver meaningful financial improvements to our shareholders going forward. On Page 9, we thought it would be helpful to give a little bit more perspective on just how different the back half of 2013 was compared with the prior period. In terms of net sales second-half of 2013 was a marked improvement over the prior year and a pretty meaningful improvement from the first part of 2013. Taking a look at the operating profit performance, however, highlights an even more start comparison with the second half of 2013 delivering substantially more operating profit than any of the comparative period shown. As discussed, Material Handling & Port Solutions was a substantial driver of this turnaround and Aerial Work Platforms continued its strong sales growth driven by the North American market. On Page 10, we showed two charts highlighting the change in backlog versus the prior year and prior quarter. For the year-over-year comparison, AWP shows a decline due to the timing of orders for some large North American customers. Let me reassure you that we see strong 2014 early order patterns for this product category and remain quite positive about them and markets here. Cranes backlog which was down versus year-ago actually was up a little versus the prior quarter. This first sequential quarterly increase since 2012, we think it is a first sign of encouraging opportunity here. MHPS continues to show strong backlog driven by the large automated projects that are in our order book for delivery over the coming years. Sequentially construction was the major change as we think dealers are beginning to place orders for their 2014 needs and some moderate improvements in Europe. Now turning to Page 11, and our outlook for 2014. Overall, we’re looking for moderate top line growth of between 3% and 8%. Operating margins which were adjusted at 6.8% in 2013, we expect to be 7.5% to 8.5% in 2014, a pretty meaningful improvement overall. Again, we want to emphasize our self-help program, because we think we can improve our margins with very modest revenue growth. This leads to an overall EPS range of between $2.50 to $2.80 per share, up from the $2.23 achieved in 2013. We expect the first quarter to be the weakest quarter of 2014. We have roughly 10% to 12% of the full-year earnings being delivered in that period. And we expect about 45% of our earnings to be in the first half of the year. Page 12 presents our expectations for net sales by segment in 2014. Leading to growth is the MHPS segment mainly benefiting from shipments that are underway to the Rotterdam Port expansion. Although it's important to point out that at this point in time we know about $50 million of our planned first quarter revenue will be pushed to later periods in the year as our customer isn’t yet ready to accept this merchandise. Our Aerial Work Platform business is expecting high single-digit to low double-digit percentage growth, fueled by continued buying from the North American marketplace as well as improving trends in Europe and the contribution from certain new products. Our Materials Processing business is expected to increase moderately, while our Crane business is also anticipating modest growth. For Construction, we’re planning around a flat year overall. We feel this is a balanced approach to the sales forecast as many global markets are still uncertain. Page 13 presents the operating profit outlook for the Company by segments. Again, as with our sales we’re expecting a solid improvement in profit for MHPS as the increased revenues in restructuring benefits favorably impact overall profitability. We are looking to achieve moderate growth in operating margin for Cranes in 2014 and a slight improvement for our Construction segment coming off a challenging year. For our Aerial Work Platform business and Materials Processing businesses, we anticipate that their operating margins will remain relatively in line with 2013 performance, although higher profits as a result of net sales growth is expected. So to conclude, on Page 14, where we're headed. 2013 clearly turned out to be a weaker demand environment than we originally anticipated. We expect steady performance in the first half of 2014 and some acceleration in the back half of the year. Critical to our success is remaining focused and disciplined in pursuit of our internal initiatives to maximize the returns to our shareholders through higher EPS and ROIC. If the markets proved to be stronger, there should be sufficient upside in our performance. But we feel it is prudent to remain cautious. We still view our $5 plus EPS goal to be the right one for the Company overall. Although given the fact that 2013 was a year where we didn't see any growth meaningfully materialized, we think it's probably more appropriate for 2016 now than 2015. Our 2013 revenue was about 65% of the prior peak revenues for our segments. So growth is still a key part of our plan. If you couple this with the anticipated margin expansion and disciplined capital deployment approach, we have a lot more value opportunity to capture internally. Thank you and operator I’d now like to open it up for questions.
Operator: Certainly. (Operator Instructions) Your first question comes from the line of David Raso with ISI Group.
Ronald M. DeFeo: Hi, David.
David Raso - ISI Group: Hi. Good morning. I appreciate the EPS cadence color. Can you give us some help Ron or Kevin about the sales cadence throughout the year, to get to the full-year growth rate midpoint of roughly 6%?
Ronald M. DeFeo: Yes. As we started out 2013, we anticipated end markets frankly to be stronger than they actually were. If I go at this a little bit by segment, I think we were pleased with AWP performance. But the balance of our segments struggled on the revenue line a little bit throughout the year. If you pull out the big port projects even from our Material Handling & Port Solutions business, it still had relatively flat year-over-year type sales performance. So we’re entering the year with a focus that says we’re going to grow our profitability irrespective of whether we get a lot of help from the markets. Now frankly as we go segment-by-segment, it’s quite possible to be more positive than negative about the opportunity in our market and the probability is that growth will be in our future much more likely than a decline. For perspective, our Cranes business is only 15% above its last trough. Meaning it's in the range of 50% below where it once has been in terms of revenue opportunity. But we don't really see a dramatic improvement in the Crane business particularly non-residential construction in the early part of 2014. Although I think we are getting some signs from our customers that they're beginning to see some work there. And Cranes will be an important part of our change on a year-over-year basis. It can move the needle for us. We are pretty solid about AWP and think that our high single-digit, low double-digit growth rate is clearly deliverable. Our Construction business we’re being very cautious about. That business is seeing some improvements already from the scrap-handler business where we’ve got some decent backlog entering 2014 and beginning of some orders from our European dealers. That business for perspective now that we’ve the Truck business out of it is only at 45% of its last peak. So I think that business had a -- has a lot more potential for growth looking forward. So we’re being somewhat conservative I think on our revenue forecast for 2014. Materials Processing, we're going to push for growth in that business although our forecast is for relatively moderate performance and MHPS as I already indicated its really a story about big deliveries in the port business, but not a lot of growth in the Material Handling or Overhead Crane business. So overall, David I think the 3% to 8% revenue growth which of course includes probably a tad bit of pricing is pretty conservative. But I think given what happened to us in 2013, we’d rather be a little bit more on the plan for less success and deliver more success side than plan for a lot of revenue growth and have to back off on that in 2014. Does that help?
David Raso - ISI Group: And I guess again, I appreciate all the color, but just on the cadence especially we’re looking at roughly $0.30 in the first quarter, going up to $0.90 in the second quarter. And seasonally, the second quarter is seasonally a lot stronger than the first quarter, but just going from $0.30 up $0.90, can you help us a little bit with is the sales in the first quarter kind of flat to down and then the second quarter you’re expecting high single-digit kind of top line just to get people comfortable with that big a jump from one 1Q to 2Q, but you can help a bit with sales growth cadence would be great.
Ronald M. DeFeo: Yes, you know David; this is not unusual for us. It’s both sales and profitability and margin delivery. And I fight this battle many, many years or over the years where Q1 tends to be a fairly weak quarter and Q2 tends to be a pretty strong quarter. And if you just kind of look at this past year on an adjusted basis, Q1 was $0.22 or $0.23 a share and Q2 was $0.65 a share and the revenue in each one of those Qs was $1.65 billion and $1.86 billion, Q1, Q2 respectively. So, you don’t have to have a huge amount of extra revenue to deliver a more efficient. You’re really operating your business on three full months, April, May, and June whereas the month of January is a start-up month and people coming back from vacations, European vacations and -- so you’re much more efficient in the April, May, June period. So we’re not uncomfortable with the cadence commentary that you provided.
David Raso - ISI Group: Okay. I appreciate it. Thank you very much.
Operator: Your next question comes from the line of Andy Kaplowitz with Barclays.
Alan Fleming - Barclays Capital: Good morning. It's Alan Fleming standing in for Andy this morning.
Ronald M. DeFeo: Hello.
Alan Fleming - Barclays Capital: I just wonder Ron, if I could press you a little more on your -- on the comment you made about the strong early order pattern in AWP that you're seeing. Can you talk a little bit about the tone of the conversation you’re having with your large independent rental customers and relative to their buying plan to next year. What's giving you confidence to say that you're seeing a pick up in the order activity?
Ronald M. DeFeo: Yes. Well, I’m going to turn it over to Matt Fearon who runs that business who probably has more personal commentary than I do. So Matt why don’t you answer that?
Matthew Fearon: Yes. Our outlook on orders is positive. I guess most recently last week with the ARA Show, down in Orlando. And that show is typically attended by small rental companies, midsize and the larger ones. And the sentiment down there was very positive, mostly North American customers, but what they’re seeing is that the market is good. They’re seeing non-residential construction continue to improve and so they’re feeling more confident. So as we talk to our different customers, large and small, we’re seeing that people are very positive about the outlook and quarter to date our order rate [inaudible] we are very pleased with.
Ronald M. DeFeo: I think the other thing I would add is historically some customers would close the year and give you a big preorder. So they encourage you to negotiate with them aggressively for pricing for the following year. And frankly a few of the leading big customers have changed that practice. And that’s okay by us because we have a pretty good window into their replacement rates and their overall capital requirements and none of the things that we have seen in the early part of January would suggest a slowdown in their requirement for Aerial Work Platforms. But remember the fundamentals drive the business and the fundamentals are pretty clear here. High utilization, high used equipment valuations, and an old fleet. If you put those three things together plus a pretty solid financial performance on the basis of these rental companies, the equipment requirements are our business. And we’ve got a large market share in the Aerial Work Platform business and we’ve got well accepted products and we’re very positive about this segment.
Alan Fleming - Barclays Capital: Okay, I appreciate that. If I could switch gears and ask you about your crane business. You talked about some continued softness is Australia. As you look out to 2014, can you talk about your cranes outlook for that part of the world and your confidence that maybe that business has at least bottomed?
Ronald M. DeFeo: Sure. Well I’m going to turn that over to Tim Ford. Tim.
Timothy A. Ford: All right Alan. Thank you for the question. Australia was a tough pill to swallow for us this year. The business was down about 35% and I think really, we started to feel it significantly in the second and third quarter. More recently we have seen some stabilization in that business in fact probably in the November, December timeframe, we started to see a little bit of a pick up in orders and I think overall the business as I talked to our team there and I was just with our leader from the Australian business last week. Our team is feeling pretty confident that we’ve reached bottom. The first half of the year we’ll continue to bounce along the bottom, and maybe in the second half we’ll see a little bit of order strengthening. But we’re pretty confident that the Australian business is sort of at its trough for sure.
Alan Fleming - Barclays Capital: Okay, thanks guys. I’ll turn it over.
Ronald M. DeFeo: Okay. Thank you Alan.
Operator: The next question comes from the line of Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group: Good morning, guys.
Ronald M. DeFeo: Hi, Ted.
Ted Grace - Susquehanna Financial Group: A question for Ron and Matt; you framed the cranes being about 50% below peak and I was wondering if we just think about Aerials, we stated move the revenue around a bit but the prior peak was $2.6 billion, your guidance would have us doing $2.3 billion, $2.4 billion in 2014. How would you encourage people just to think about kind of where the cycle can get to given you just touched on, it's an older fleet, so demographics can play and that kind of how cycles play out, the strong utilization, the rental penetration and kind of all the other factor’s. Are you comfortable we can exceed $2.6 billion, will it be depending on North America more so than non North American markets or how would you just kind of frame that out?
Ronald M. DeFeo: Ted, let me start and then I’ll ask Matt to comment on this because this is something that I’ve been looking at for many, many years and while Matt is younger than me he’s been looking at it for the same number of years. I’ve been watching this category continue to reach new highs as we believe the product category continues to grow. And fundamentally why is that; because this is a safe work tool that improves productivity. You might be surprised to learn that we’re already at the prior peak in North America. 2013 was either equal or about at that prior peak of what happened in North America. Having said that in 2013, we were only at 40% of the prior peak in Europe and we’re working very hard to develop the category in new markets like China and we’ve been tremendously successful at developing the category in Latin America, but the product line still remains a cyclical product category, but we think the fundamentals for several more years of positive performance are there. So, North America is going to grow. It's not reached its high; it will go pass its prior peak. And I have a lot of confidence that actually Europe will grow and go pass its prior peak. And so I think the opportunity for this business, we don’t want to get ahead of ourselves but the opportunity to put these products in the hands of people that know how to use them to lower their cost of doing business, to put people to work at high. I think more and more as the days go by people are finding new ways to use these tools. Matt, do you want to add anything to that?
Matthew Fearon: Yes, I think that Ron brought up that we exceeded our North American peak in 2013, but Europe still has a long way to go. And as the markets, as we broaden out to other geographic regions we see that as good for the long-term. So most interested to take into consideration when you’re looking at the North American market is that there’s deeper penetration. And so what I saw in 2013 was rental companies were shifting from just refreshing those fleets to actually growing those fleets. And with non-residential construction still on the growth pattern we think there’s still legs in North America. So oil and gas is another driver that was not as strong in the prior cycle and we expect that to help carry it along.
Ted Grace - Susquehanna Financial Group: Good, that’s helpful. And then, the second thing I wanted to ask was just on restructuring and restructuring benefits. If my recollection serves me right, we’re expecting most of the year-on-year gain in ’14 to come from MHPS and cranes. Can you just help calibrate us for what we should be looking for, I want to say the number was kind $50 million plus of incremental benefits, but it that right or there’s been any change to that expectation?
Ronald M. DeFeo: Kevin, why don’t you answer that?
Kevin Bradley: Sure. In 2013 we got a benefit from the restructuring that we announced back in June just over $10 million. Incremental to that in 2014 we expect it to be just over $30 million in ’14 and about two thirds of that should be in the lease business MH&PS.
Ronald M. DeFeo: So we got a little bit more benefit in 2013 than we had initially expected. So the incremental difference in ’14 was a little bit less than what we had previously thought.
Kevin Bradley: And then we expect about $20 million in ’15 and beyond.
Ted Grace - Susquehanna Financial Group: Okay. And so just to be clear, the $10 million in 2013 primarily came in the fourth quarter?
Ronald M. DeFeo: Yes, the largest piece was in the fourth quarter slightly less than the third.
Ted Grace - Susquehanna Financial Group: Okay, great. Well congratulations and best of luck this year guys.
Ronald M. DeFeo: Thank you.
Operator: The next question comes from the line of Nicole DeBlase with Morgan Stanley.
Nicole DeBlase - Morgan Stanley: Yes, good morning guys.
Ronald M. DeFeo: Hello, Nicole.
Nicole DeBlase - Morgan Stanley: Hi. So, just I thought that you guys are pushing out the EPS target the $0.05 to 2016. So, I mean just stalking into what we need to assume, it's about 37% EPS CAGR from the midpoint of ’14 guidance or 34% from the high end. So, I’m just curious Ron in your level of conviction that you can reach that, and how much is being driven by end markets versus self-help?
Ronald M. DeFeo: Yes. Okay, Nicole we’ve got pretty good conviction that this is well within our capability to achieve. If you take this in a -- let me answer the question in two ways; one, in a fairly simplistic way and then in a little bit more detailed way. In a fairly simplistic way, Terex in 2013 was at about 65% of our overall pass peak revenue. We think we can make that pass peak that revenue probably in the 2016 kind of timeframe. That adds several billion dollars you can run the numbers to the revenue base even after taking out the [TEL] [ph] business and the road building business, the truck business et cetera. In addition we’re building off to 6.8% operating margin and if you just assume fairly normalized incrementals you add that several billion dollars of revenue you’re going to get leverage on your margin and achieving 10% type operating margin is well within the reach of our ability to achieve. And then if you basically take a moderate improvement in our tax rate and a modest use of cash to pay down either some dividends or to buy some shares back or something like that, you’re at that number or perhaps slightly better. So in a fairly simplistic way this is the right goal for us as a company. Frankly disappointed we didn’t achieve growth in 2013 but we did achieve improvement in earnings despite not having end market help except for the AWP business and frankly what happened was the AWP business grew but some of our other businesses did not and actually it went moderately backward. But we don’t see much in the way of backward market events happening in the next couple of years. So that gets to the more detailed kind of question. So, what are the primary opportunities that give me confidence? Number one, I think we’re going to have really continued positive performance in our Aerial Work Platform business. You can take a conservative approach and the number is good. You can take an optimistic approach and the number is phenomenal. So find some midpoint there and I think that’s reasonable. The real change business is the crane business. And the question becomes how high is high. We have a $1.9 billion business in 2013, but the business was well over $3 billion at the past peak, well over $3 billion. So how far do we get along that continuum by 2016, that’s hard to answer, it's hard to answer. But fundamentally I don’t think we stay at the $2 billion level. We're going to see some growth in that business and that’s just the matter of a one or two more years of time. The other businesses will be positive contributors particularly the MHPS side of the business. But when you look at MHPS, I’ll ask you also to remember that we carry about 2.5 to 3 percentage points of margin in that D&A line because of the acquisition of Demag Cranes and the step up amortization, 7% operating margin is much more like a 10% EBITDA margin for that segment overall. So it depends on how you look at it whether the company’s valuation on an EBITDA basis or an EPS basis. So there’s a lot of earnings momentum I think still possible in the company. I think 2015 is going to be a very good year for us. The question is, frankly if you just straight forward you just can’t see getting to the $0.05 a share number in 2015 knowing what we know about the current markets. Could the markets turn around quickly? Unlikely. And we all that hope isn’t a strategy, so I think the practical thing for us to do is to suggest 2016 is the better timeframe.
Nicole DeBlase - Morgan Stanley: Okay, thanks Ron; that was really, really helpful color. Maybe one more, just one thing that’s put out to me in your comments was that Europe sales were up 8% during the quarter which was much stronger than I would have anticipated. So can you just give some color around the segments that fall to strengthen that region?
Ronald M. DeFeo: Why don’t I let Kevin? Kevin can you do that?
Kevin Bradley: Yes, I can. So for Europe AWP actually MHPS had the strongest growth in the quarter and followed by AWP which was close to double digit growth. We had a small reduction in cranes in Europe and also in construction, but again more than offset by the growth in MHPS and AWP for the quarter.
Nicole DeBlase - Morgan Stanley: Thank you guys. I’ll pass it on.
Ronald M. DeFeo: Thank you, Nicole.
Operator: Your next question comes from the line of Jamie Cook with Crédit Suisse.
Jamie Cook - Crédit Suisse: Hi, good morning. I guess a couple of questions. One, Ron, I mean you sort of I guess addressed it in Raso’s question, but mathematically I can’t get to the low end of your guide, so is there something I am missing on the MHPS side in terms of when the restructuring benefits hit or service, what you’re sort of seeing also on the service to material handling side and as we look at the profitability throughout the year do you expect to earn a profit each quarter within MHPS? I guess my second question is, relates to cranes. I think last quarter you talked about some excess inventory in the channel. What are you on that and can you talk about order trends in the first few months of this quarter or do you think most of the quarter will be relied on what we see at CONEXPO. And then I guess my last question is, your peers in AWP and cranes are sort of looking for low 30’s incremental margins in 2014, why don't you guys think you can do the same? Thanks.
Ronald M. DeFeo: Well, Jamie you got a few good ones in there, I appreciate that. I’m going to push the crane question off to Tim in a second and the AWP question to Matt in a second. But on the MHPS question, let me answer that one this way. You heard me say in my comments probably that, we had our customer that has asked us to push off deliveries of $50 million of port equipment from the first quarter to later in the year. And that’s simply a timing question because the port isn’t ready to accept deliveries. It's a lumpy business and by all definitions the port side of it is probably the lumpiest side of the business. Our Q1 is going to struggle to make a profit in MHPS. Now we’re targeting to, to try and make that happen, but given the fact that we’re pushing off $50 million of revenue to the later part of the year and we had a lot of big deliveries at the end of the year. There’ll be a pretty substantial revenue change between the $529 million of revenue that the MHPS segment delivered in Q4 to a slower quarter and I am not starting revenue and profit guidance by segment by quarter here. So, I just want to give you a sense that there are some meaningful variation there, and that will be the contributor. But frankly there’s a lot of good things happening in that segment, the second, third quarter and the third quarter in particular in that segment is typically a strong quarter. And I think Steve and the team are quite positive about what they’re doing. But the restructuring activity really hits us more strongly in the second quarter and the third quarter. So that’s how that calendarization is going to happen. Now I know you asked the question about the low end of the guidance. I think you’ll get to the low end of our guidance simply by taking the most conservative assumptions we provided and adding them up. So that’s not out of the realm of possibilities. But we don’t think that necessarily, you can’t take the most conservative or the most optimistic and say all good things happen or all bad things happen, but that’s why we provide the range. So, did I answer that question or do you want Steve to add some more color.
Jamie Cook - Crédit Suisse: No. I think that’s fine. I appreciate it. Thank you.
Ronald M. DeFeo: Okay. Tim, on cranes?
Timothy A. Ford: Yes, so Jamie one of the things I have learnt in the crane business is the order to delivery cycle is longer than it is in the aerial business. And though we had a reasonably good or fairly good order intake in the fourth quarter. The timing of our revenue in the current year is going to depend largely on how the orders come in through the course of this year. So, I’m reasonably optimistic from an order intake standpoint that things are moving in the right direction and …
Jamie Cook - Crédit Suisse: And that continued in January and February or we’re just waiting for CONEXPO?
Timothy A. Ford: Given the fact that January was January, I was pleased with the orders that we took in.
Jamie Cook - Crédit Suisse: Okay.
Timothy A. Ford: That said, however the revenue that we have this year is going to depend on the timing of the orders and so if the orders come in, in the first quarter we’ll be delivering them in the second and third quarter. If they don’t come until the second quarter or even into the early part of the third quarter we’ll be challenging to ourselves to get the order turned into revenue. And so I think as we look at the market and I’m actually in Europe this week meeting with customers. The tone is cautiously optimistic, but getting the actual purchase order out of somebody’s hand until they have the job in hand is still a challenge, but people are starting to see works and beginning to feel like things are moving in the right direction.
Jamie Cook - Crédit Suisse: And then, sorry, on the incrementals? I would guess my last question was both on -- like your peers -- [Manitowoc] [ph] is guiding supplies at 30% some incremental. [Oshkosh’s] [ph] guidance on aerials implies a 30% some incremental, why can't you guys do the same?
Timothy A. Ford: Well I think we’ve got to convert the revenue into -- the orders into revenue and as we look at the year I think we’re assuming a relatively stable price environment. We will get some positive improvement from an operational standpoint, but where our factories are still climbing up and the incremental comes from driving through the factories.
Ronald M. DeFeo: Jamie I’d also answer it this way. I think we’ve delivered the incrementals on AWP. They’ve been pretty amazing, pretty good. And we’re sitting with industry leading margins in AWP by several margin points if you allocate all cost in a similar way. And our margins in cranes are not below our primary competitor if you allocate everything also despite the fact that our product mix is probably more negative than their product mix given the geography and the history. So, give us some time, I think the incrementals will come on the crane business. We just suffered through a pretty difficult period with our most profitable market and our most profitable product line in 2013 seeing 35% decline. That’s what caused our decrementals to happen the way they are and frankly it's not likely a bad margins they’re just not at the levels we would like them to be in the crane business yet. So, I think we want to be cautious in AWP because, and then I am answering the question for Matt here so I apologize Matt, but we want to grow our telehandler business. And the telehandler product line has a slightly lower margin typically on it than some of the other products. So, I’d rather have 15% margin on something than a high margin on nothing. And so we want to be balanced, growth and margin and it doesn’t all happen on the same product and in the same way.
Jamie Cook - Crédit Suisse: All right, and thank you. I’ll get back in queue.
Ronald M. DeFeo: Okay.
Operator: Your next question comes from the line of Ann Duignan with JP Morgan.
Damien Fortune - JP Morgan: Hi, good morning guys. This is Damien on for Ann.
Ronald M. DeFeo: Hello, Damien.
Damien Fortune - JP Morgan: Can you guys just comment a little bit on the divestiture of TEL. Do you guys have something earmarked for the proceeds already?
Ronald M. DeFeo: Well, cash is always spongible and we have a pretty clear set of priorities for the cash deployment. We have the potential to pay down debt. We have the potential to do share repurchase and we have an investment plan for capital in our own business and of course we have the businesses that would generate plus $250 million type of cash in 2014 is our anticipation. So, I think we’ll do the things that drives shareholder returns as fast as possible. So that’s our game plan.
Damien Fortune - JP Morgan: Got it. And then looking forward to CONEXPO, are you guys sensing any sort of pent-up demand either in AWPs or cranes going into the event? Are you expecting any sort of big surge in orders or anything like that?
Ronald M. DeFeo: No, I think these shows tend to be a great opportunities of business with your customers but they tend not to be big order writing shows. I mean we got a little bit enthusiastic at the Bauma Show because some of our European and Middle Eastern customers they were pretty positive about the environment and gave us quite a few orders last year. I think that was a mistake in terms of us judging the health of the industry. Having said that, everything I hear about CONEXPO is it's going to be a blowout show with huge attendants, with excellent enthusiasm from the customer base. So I think what we’re going to see is very planful business being done where the jobs that people have credit and cash to do they’re going to need equipment. And I believe the customer base will balance their equipment requirement both from rental and from purchase. And I think that will be played out over the next several years principally in North America.
Damien Fortune - JP Morgan: Great. Thank you guys.
Operator: Your next question comes from the line of Seth Weber with RBC Capital.
Seth Weber - RBC Capital Markets: Hi, good morning, guys. I guess going back to the Aerial margin discussion, can you just comment on the pricing environment with Tier 4, how that's being treated? How your customers are reacting? And with the increase in IRC, I would think that historically that's typically a little bit of a higher margin sale for you. And I guess the tack on to that would be are you -- are those customers -- do they have access to capital, and if they don't are you going to be more active with Terex Financial to help them?
Timothy A. Ford: Yes, as far as the pricing, I would describe pricing as stable. Tier 4 definitely is having an impact, it's being phased in. We phased in about half of our product line, boom product line in 2013 and the remainder will go in 2014, and as each of those Tier 4 hits there is also a price increase associated with that. So the market needs to digest that. It is a big uptick especially as a percentage on the smaller size machines like a 40 foot machine, the percentage is pretty significant, you get up over a 100 feet it's not so much. But that has been sticking. Everybody is in the same boat from a competitive standpoint. The actual timing is a little bit different from each of the OEMs, but we're seeing that we’re able to pass that through. As far as access to capital the large national rail companies they have no problem getting access to capital nor have they over the last couple of years. And the independence, they also are able to get capital but we are being active with our TFS team helping them get back in the market. So access to capital I wouldn’t say it is constringent right now in the market.
Seth Weber - RBC Capital Markets: Okay, thank you. And then I'm sorry if I missed this, but somebody had asked I think about the crane inventory just across the industry. Is there any color on that? I think previously you guys mentioned it was high. Has that been right sized at this point?
Ronald M. DeFeo: Yes, I would say the inventory that we saw at the end of the third quarter is more or less than normalized through the fourth quarter. It's more or less aligned with where we would expect it to be. I was at a yard in Houston back in January and much of what I was reporting to be there from the industry had been sold off. So I think we’re in a pretty good place there.
Seth Weber - RBC Capital Markets: Okay. Thank you very much guys.
Operator: Your next question comes from the line of Rob Wertheimer with Vertical Research Partners.
Robert Wertheimer - Vertical Research Partners: Hi good morning everybody.
Ronald M. DeFeo: Hello Rob.
Robert Wertheimer - Vertical Research Partners: Well this is sort of a big picture question. You and your major competitor in aerials both had sort of the same pattern of a great quarter, and then orders that didn't come through in line with the seasonal pattern. And I know the industry has been much more disciplined on pricing lately. So, I'm just curious as to whether you heard large pushback from customers on pricing. I don't think there's a lot of other options for people to go to or whether people are testing the waters on other suppliers, or maybe what caused that shift, Ron, that you mentioned and the timing of orders. And just real quickly, whether the January orders filled in the Q4 hole or not?
Ronald M. DeFeo: Yes, I am going to turn it over to Matt, but basically say the practice of pre buys wasn’t as bigger practice this year as last year. Matt?
Matthew Fearon: Yes, and we have a very good understanding of what's going on, and like Ron said it is one of the national rental companies has changed their pre-buy strategy but that being said the major rental companies are all lined up to accept the equipment, so quarter to date we’re pleased with the order rate and we’re feeling confident in the year. Especially if you take into consideration as cold as it's been in North America across the mid west and the eastern seaboard, we’re really pleased and we think we’re set up for a very good year.
Ronald M. DeFeo: Let me also add that one of the mistakes that a big pre-buy may make is that you think you’re going to get such a better price if you go put those, place those big order. Whereas in reality we’re going to sell the biggest customers at the right price for the size business they make irrespective of whether they put a big order in or a little order because of the nature of them being the size customer that they are. So practically speaking it makes no more sense to put this huge order in. In addition, the last thing you want to do if you're a big rental company is have this big order recorder, try to allocate equipments by branch and it always goes to the wrong branch. So you’d rather be able to order the equipment for the right branch at the right time on the pricing that you’d have normally gotten anyway. So I think it's a practical adjustment. I applaud the rental companies for doing it this way because it just results in less waste in the industry.
Robert Wertheimer - Vertical Research Partners: Great. That's very helpful. Thank you. And then, maybe a follow-up on the Cranes gross margin, it had a high point for a while there and its been contracting. You have talked about some of the issues to it and by the way thank you for disclosing gross margin data by division, its really helpful. I'm curious whether a pricing degradation was a big part of that or whether it’s really just trying to balance production in some markets that were weak in what the pricing environment is now? And I will stop there. Thanks.
Ronald M. DeFeo: That’s fine Rob. Tim, why don’t you answer that?
Timothy A. Ford: Yes. Pricing actually Rob has been very stable. For the most part we’ve seen good competitive markets, but not any degradation from pricing. Our gross margin degradation is really the function of two things, volume and mix. And we talked a little bit earlier about the impact of our Australia business. We were also down in our rough terrain category, which is a North American, Latin American and Middle Eastern category. And being down in those markets has hurt us from a margin standpoint. So it’s really those two things that have impacted us more than anything else.
Robert Wertheimer - Vertical Research Partners: Thank you.
Operator: Your next question comes from the line of Eli Lustgarten with Longbow Security.
Eli Lustgarten - Longbow Research: Good morning, everyone. And I don’t think you’re getting enough credit for how nice the quarter was, if you just strip out all the noise you showed you're ability to execute (indiscernible). I think my real question is really on volume in two areas. And one, we saw a very strong buying in the fourth quarter in a lot of construction, particularly AWPs and even in Cranes and there seems to be particularly with rental companies that they did a lot for tax purposes with the expiration of both depreciation and section 179. And that may be the question whether or not maybe 2014 we have a little bit more modest expectation for your guidance is probably not unreasonable. But can you give some idea of whether you think rental companies actually exercise the tax fines, because they're run by bean counters. And whether or not that also explains why you don’t need any of those big orders as you go through the year or just balancing your purchases, and it's particularly true in the AWP and Cranes.
Ronald M. DeFeo: Okay. Well, I will give you my two cents and Matt or Tim can add to this. I think every rental company and every customer we have will take advantage of any tax benefit that is given to them or offered to them. But fundamentally the tax benefits don't aren’t sufficient enough to encourage people to buy equipment they don't really need. So while you may be able to move a couple of weeks of demand from one period to the next period because of that, I don’t think it will materially impact our business. Matt, do you feel the same way or differently?
Matthew Fearon: Yes, I agree with what Ron just said. You do hear some customers talking about the tax benefits, but taking equipment in the fourth quarter is a tough time of year for a rental company because typically their utilization start to dip. So I think they have more incentive than the tax. In other words, they see that the market is going to be good, that they have demand and so they’re willing to sign up and take the equipment. And I do not expect there to be some kind of a vacuum in first or second quarter because people bought so heavily in fourth quarter. I actually see it as a very positive sign, that its a good setup for 2014.
Eli Lustgarten - Longbow Research: Okay. And can you give us some color more on the port system MHPS business. How much of the current backlog is going to be shifted in ’14? And probably the bigger question is, is there -- what kind of activity are you seeing to perhaps follow-on orders from the big orders that you have, that you receive in the next couple of years?
Ronald M. DeFeo: Sorry, Eli. Steve, why don’t you address that?
Stoyan Filipov: Sure. Thanks, Eli for the question. I'll start with automation and I think the automation business is something very positive for us and we see that as a growth area. We have several projects that are out there that we’re quoting right now and our objective is to try to get an order for another large projects this year or in the beginning of next year. So we see a lot of good business there. We are also investing in that area. We have couple of small software businesses that are within port and those businesses are doing very well and growing very quickly. So I think automation is going to be a big part of our business going forward and really not a project business anymore, its part of our core business. On the backlog piece, we will probably ship about $300 million of large projects in the -- in 2014. So hopefully that answer to your question on what we will ship out of the backlog this year.
Eli Lustgarten - Longbow Research: Do you expect to be able to reprice that -- the backlog that’s being shipped from these big orders this year, so we don’t have any timing issues as we look into 2015 and 2016?
Stoyan Filipov: We’re going to try, but it's a big order, $300 million is a big piece to replace. I'd say that the projects we are looking at are -- some of them aren’t that big. So it could be potential for us.
Ronald M. DeFeo: You know what I would say Eli is that some of the base port business has been weaker over the past couple of years than it was several years ago. So we'll probably get a meaningful automation order, but we'll probably see some strengthening of our other base port business so that the net net of it all doesn't cause a big hole in our revenue going forward.
Stoyan Filipov: Ron, maybe I could just follow-on to that. I mean I think Eli the container business, the forecast is to be up single-digits. Now the opportunity there is, is customers are getting bigger and bigger ships and moving more and more boxes of containers, which means that they are going to be moving more and more boxes on the ports it is going to help our core business. So I think that’s the opportunity, even though the container traffic looks like its going to go up modestly, there is going to be a lot more movement within the ports and that’s going to help our core businesses within reach stackers and empty container handlers and things like that.
Eli Lustgarten - Longbow Research: All right. Thank you very much.
Operator: Your next question comes from the line of Schon Williams with BB&T Capital Markets.
Schon Williams - BB&T Capital Markets: Hi. Good morning. Thanks for taking for taking my call.
Ronald M. DeFeo: All right, Schon.
Schon Williams - BB&T Capital Markets: I just wanted to follow-up on the comments around working capital and free cash flow. I think you mentioned early on in the call that expectations coming out of 2013 maybe were little bit below your own internal targets and I just wonder if there is -- are there additional steps you are taking to improve working capital and free cash flow? I mean obviously, you’ve got very good goals set up for next year. I just want to see, is that all market driven or is that internal efforts? And then my follow-up to that would be where is the focus for the -- for uses of the free cash flow? I know it’s kind of similar to an earlier question, but I wanted to clarify, I mean, do you have specific targets of debt reduction and share repurchases already built into the guidance or would that potentially be on top of the guidance that you’ve out there? Thank you.
Ronald M. DeFeo: Okay. Let me answer that last question first. No, we don’t have specific debt reduction or share repurchase considered in the guidance. It is provided as is, where is, but nor would I say is there a huge opportunity to move the needle that much because of the cost our debt is relatively low-cost and our higher -- highest cost debt is difficult to get at this point of time for about a year or two. But the thing that I would point out however is in 2015 we will be addressing the convert which matures in June of 2015. And that’s a pretty significant dilution for the Company because that’s accreting at I think a book accretion of about 11%. Even though the cash interest cost is 4%, so in 2015 that’s a pretty good size opportunity for us. So that's kind of the guidance and what's built into our -- to our business perspective. You want to address the working capital comment Kevin?
Kevin Bradley: Sure. Yes. On working capital, its our goal to kind of hold our working capital where it is as we grow in 2014. We think we can do that especially with inventory. And also just adding to Ron’s comments about free cash flow, we’re into our revolver, so we have been using our free cash flow in 2014 one of our priorities is to obviously get out of that facility.
Ronald M. DeFeo: Get out of that meaning pay down the revolver. We do have initiatives Schon, I don’t want you to think that we are just kind of sitting back and waiting for the inventory and working capital things to just happen on us. We’ve got a massive effort to focus on moving our raw material inventory down. Each one of our segments is improving processes relative to sales and operations planning because ultimately your ability to be efficient on a working capital basis is directly related to your ability to forecast your revenue, because of the time and cycle time associated with the build rates in our business. So there are specific lean initiatives in each one of our business segments to manage our working capital better. So we're not going to sit back and just watch it although, frankly it’s a very challenging area for us to drive working capital down, particularly as we expect the revenue to moderately increase.
Schon Williams - BB&T Capital Markets: Okay, all right. Thanks, guys.
Operator: Your next question comes from the line of Mig Dobre with Robert Baird.
Mig Dobre - Robert W. Baird & Company, Inc.: Good morning. Thanks for squeezing me in, guys.
Ronald M. DeFeo: Okay.
Mig Dobre - Robert W. Baird & Company, Inc.: I want to go back to AWP for my first question. I guess, can you give us a little color on where you stand from an overall capacity standpoint? Especially as you mentioned, North America demand is back to prior peak, do you need to invest in capacity in order to meet demand going forward?
Ronald M. DeFeo: Matt?
Matthew Fearon: Yes. We -- over the last few years we’ve been investing heavily in expanding our capacity. The kind of the easy wins are adding second shifts, which we’ve done at most of our facilities. But we also are looking at or have started initiatives in our Oklahoma City facility, which is going to give us additional capacity and we still have capacity to start work globally in our European factories and in our China factories. So from a capacity standpoint, we have seen it coming and we’ve been investing heavily along the way. So we think we’re in a real good position to handle the continued growth.
Mig Dobre - Robert W. Baird & Company, Inc.: But you wouldn’t highlight 2014 as being some kind of an unusual investment year for you in that regard. It goes back to a prior question asked on incremental margin in this segment.
Ronald M. DeFeo: No, it would not be. We have capacity investment plans that are pretty consistent with what we’ve done historically. Perhaps a little bit greater in some things we’re doing around our Oklahoma facility. But our Oklahoma facility is a Terex multi-product facility where we have Crane production, Materials Processing production, and Aerial Work Platform production that is in the beginning phases, in the middle part of the country. That facility used to be a road building facility, but when we sold off our road building products we’re retooling that facility. So that's mainly a Terex Corporation kind of decision. That facility will lower our costs. It has access to supply base that’s efficient and a workforce that we believe is attractive.
Mig Dobre - Robert W. Baird & Company, Inc.: Excellent. And then my last question is on material processing, nobody asked any questions there. Performance there pretty good, bookings growth over the last couple of quarters, and it seems to me like you are maybe outperforming some of your peers, like Metso for instance. I guess I’m wondering what’s driving some of that performance, and again how we should be thinking about incremental margins on your volume guidance going forward?
Ronald M. DeFeo: So, I don’t know if Kieran is still there. Do you want to answer that question?
Kieran Hegarty: Yes, I’m here Ron. So hopefully you can hear me. I’m dialing in from Belfast. Yes, we have seen some of the other segments we’re cautiously optimistic for the start of our recovery. We are seeing fairly decent order intake in North America, in January and a reasonably bullish outlook in North America as that economy recovers. Seeing bits of it in Europe, its not Europe wide, we’re seeing confidence returning in markets like the U.K. reasonably strongly and also some strength in Germany. Compared to the question on versus our peers we're probably not as mining dependent as a peer competitor like Metso. Metso would be much more exposed to the commodities; we’d be probably more broadly aligned to the general construction plans as opposed to just a mining play. We’re impacted somewhat in some markets by mining, but not nearly as much we believe as a peer such as Metso. In terms of the margin, again as Ron gave in terms of the overall commentary, we believe it's steady as she goes. We don’t whilst there is some pricing pressure in certain markets, overall we’d be fairly confident that we’re going to -- we’re not actually going to see any margin erosion and would be reasonably comfortable if volumes recover then that will translate into higher profits.
Ronald M. DeFeo: Thanks.
Mig Dobre - Robert W. Baird & Company, Inc.: Thank you for the color.
Operator: And due to time constraints, we have time for one last question. And final question is from Adam Fleck with Morningstar.
Adam Fleck - Morningstar Inc: Hi. Good morning. Thanks so much for taking me sneaking me in there.
Ronald M. DeFeo: Okay.
Adam Fleck - Morningstar Inc: Just wanted to follow-up on AWP, I appreciate the comment about developing the market in Latin America, but maybe if you could provide the growth in that segment in that region for the quarter, and then what you are expecting for 2014?
Ronald M. DeFeo: Yep. Matt, why don't you do that?
Matthew Fearon: Yes. Latin America for us in 2013 was our highest growth catering region and it was again driven by Brazil. But that being said, we’re seeing growth in other countries in Latin America as well as other parts of the world. So when we talk about developing markets, what we’re looking at is year-over-year, what are the percentage growths we're seeing and our highest percentage growth was in the international markets. So that trend again is driven by safety. Our products put people at height to work more safely and more efficiently. And as we see labor rates climbing up, we typically see the adoption of our products increasing.
Ronald M. DeFeo: I look at Brazil and I think Brazil has had a phenomenal run. It's probably going to soften up a little bit. But we have got a lot of other places where we can offset some of that.
Matthew Fearon: Yes and then just as looking forward your question about Brazil in 2014, Brazil can be fairly volatile if you look at it over time, it's on a definite growth period, but with the World Cup and the Olympics. We are expecting that they are going to continue to have good growth. But it bounces around quite a bit from year to year. We are expecting to continue to see growth in 2014 though.
Adam Fleck - Morningstar Inc: Okay, great. That's helpful. And then just one quick follow-up on the South American region. Are you seeing or having concerns about currency fluctuation and how maybe that will affect your business here in ’14?
Ronald M. DeFeo: I don't think so at this stage. There is always been a bit of currency fluctuation that our customers try to offset and it may catch us by surprise or a particular quarter and a particular time. But I don’t think at this moment we see anything that concerns us.
Adam Fleck - Morningstar Inc: Okay, great. Thanks so much.
Operator: I will now turn the call back over to presenters for any closing remarks.
Ronald M. DeFeo: I want to thank everybody for their interest. You’ve been very patient with us. Its been an hour and 15 minutes on the call and if we miss any of your call -- questions, we apologize. Please follow back up with Tom or Kevin or anyone of us. Thank you very much for your interest in our Company today.
Operator: Again, thank you for your participation. This concludes today’s call. You may now disconnect.